Operator: Hello, everyone. Thanks for taking the time to connect to our First Quarter 2023 Results Conference Call. This event is being recorded. Our speakers today will be our CEO, Mauricio Ramos; and our CFO, Sheldon Bruha. Following their prepared remarks, we will have a Q&A session. By now, you should have received a copy of our earnings release, which is available on our website, along with the slides that we will be referencing during today's presentation. If you please turn to slide 2, you can see our safe harbor disclosure. We will be making forward-looking statements, which involve risks and uncertainties and could have a material impact on our results. We will also be referring to non-IFRS metrics throughout this presentation. We define these metrics on slide 3, and you can find a reconciliation of these in the back of our earnings release and on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Mauricio.
Mauricio Ramos: Good morning, and good afternoon, everyone. Thank you for joining us. Today is the International Day for Girls in Communications and Technology. As a member of the ITU, UNESCO Broadband Commission for Sustainable Development, I would like to celebrate this day and highlight the importance of empowering young women to pursue careers in ICT. In that spirit, we're also celebrating today the anniversary of our own Conectadas digital platform. As we just saw in the short video, this program offers free training for women who want to acquire digital skills and apply those skills to their lives, their businesses and in their communities. To-date more than 745,000 women have been trained since the launch of this program back in 2017. And as you know, we're a purpose-driven company. So we also make sure our success by how well we'll lead that to our purpose of building digital highways that connect people, develop communities and improve lives in the countries where we operate. With that, let's focus on the highlights for the quarter on slide 5. Let's start with the obvious we're navigating through challenging macro and political environment in the countries we operate in, particularly Bolivia and Colombia. But we continue to execute very well during the quarter. Service revenue grew 2.2% during the quarter with a number of bright spots that position us for faster growth as economic and competitive conditions will improve. Two of those very bright spots are B2B, which continues to accelerate and postpaid mobile, which continues to show strong momentum. I will talk about both of these businesses later. And finally, during the quarter, we made important strides in improving our operational efficiency as we began implemented Project Everest, our new cost savings and operational efficiency program. As you know, Project Everest is an important pillar of our financial plan for the next two years. And it is also one important reason why we remain confident that we will achieve our medium-term financial targets. Please turn to slide 6 for a look at service revenue in Q1. Service revenue grew 2.2% during the first quarter, driven by growth across all business units. As I've mentioned before, there are some shifts in that we were achieving our growth, and this is consistent with the general trends we see in our markets. Home business indeed seen slower growth, but mobile, particularly in postpaid and B2B continued to see very strong growth. Our B2B business has once again been our top performer, which I will discuss in more detail shortly. Sheldon will talk later about our performance by country, but the key point on this slide is that we continue to see positive growth across the vast majority of our countries demonstrating the strength and resiliency of our business. Let's go in detail on B2B on slide 7. Service revenue or B2B accelerated to 6% in Q1, up from 5% in 2022. Our revamped Tigo Business strategy continues to handsomely payoff with digital service revenue growing by 28% in Q1. Our digital services include cybersecurity, managed multi-cloud and secure SD-WAN. These services now make up 19% of our total B2B revenue, and they continue to grow in importance. The key to our success in B2B is our holistic strategy with clear customer segmentation, well-trained sales teams and key partnerships with global leaders, including Microsoft, Amazon and VMware. These partnerships added to the quality of our infrastructure allow us to deliver high-end B2B solutions to all our clients. In line with this, we recently launched Cloud360. This is our new flexible offer for private and public clouds powered by our partner VMware. As a result of these efforts, today, we serve well over 340,000 SME clients around the region, along with thousands of mid and large-size corporations as well. Our B2B revenues are now well over $800 million per year, and yet they make up only 16% of our total service revenue. We have a strong pipeline of projects to sustain solid B2B revenue growth going forward. So I have challenged the team to soon make this a $1 billion B2B revenue business. Now, let's look at our postpaid mobile business on slide 8. Our postpaid subscriber base increased by 168,000 net adds during the quarter. We have added almost 2 million new postpaid customers over the last two years. As a result, postpaid customers now make up 16% of our total customer base. That's up significantly from 12% two years ago. And we think we still have a long way to go to migrate customers into plans that drive higher ARPU. This strong subscriber growth has translated into sustained postpaid service revenue growth over the last two years. In Q1, service revenue from postpaid grew almost 9%, and the business remains one of our most important growth drivers. Now let's talk a bit more about Home on slide 9. As I have mentioned in previous quarters, we have seen a slowdown in Home Business over the past year, and this quarter saw a continuation of these trends. This slowdown is largely focused on Colombia and Bolivia as the Central America Home business continues to grow. The slowdown is a result of the natural ebb of demand after the pandemic, the more difficult macro-economic conditions, particularly in Colombia and Bolivia and continued competitive pressures in those two markets. We have also taken ourselves a very measured and long-term approach, maintaining strong price discipline and sustaining installation costs to make sure that new customers are profitable. And we have also rationalized our investments in those markets to adjust for the slowdown. We continue to believe this slowdown is temporary and there is significant untapped potential to fix broadband in our markets. And thus, we stand ready to renew investments pace once conditions do improve. Now let's turn our attention to Tigo Money on slide 10. I am excited as ever on the prospects for mobile money and for Tigo Money, in particular, in our region. Our Tigo Money team is pumped and driving its entrepreneurial spirit into the new hub-based Tigo Money products that we're laughing. The app is live now in our five existing Tigo Money markets, and it is driving digital adoption. Our digital or app-based user base has doubled over the past year. We have also launched a new and digital merchant platform to which we're adding merchants across all countries on a daily basis. We have relaunched in Guatemala, where we just signed our first and crucial banking interpretability agreement. And we're getting ready to launch in Panama later this year, where the merchant platform already includes Uber, Starbucks books, the largest chain of gas stations and various large retail chains. We have also started micro-lending pilots in Paraguay and Guatemala and are pleased with the early results. So we're pumped about Tigo Money so stay tuned for more news and positive developments as we go forward. Now please turn to slide 11 to talk about Lati, our developing tower business. We continue to make strong progress on Lati as well. The next important step will be the transfer of towers to new legal entities in each country. Simply said, this step will now keep us on track for a transaction later this year. We expect to launch the formal sale process in the second half of this year as planned. And as we have said often, we remain open-minded about the financial structure that we would ultimately choose although we continue to have a slight preference for the option of selling a majority stake for financial investors. Let's move to slide 12 to review some country highlights, beginning with Guatemala. Growth for our business in Guatemala this quarter was flat. Home, B2B and postpaid, however, all continued to grow very well, well into the mid-single-digit area with the competitive challenge concentrated in prepaid. As you recall, roughly one year ago, we responded to our competitors' aggressive commercial strategy and this had an immediate impact on reload activity. Since then, we've been very successful in stabilizing customer activity levels and in protecting our market leadership. Our customer base and market share positions have been preserved, no further price erosion has ensued, and we're now seeing reload activity picking up again. So our investments, both in the networks and in our commercial distribution channels have paid off, even if they have been costed [Ph] to EBITDA as you see this quarter. The prepaid segment remains competitive, but pricing is now stable, and we expect our performance to gradually improve from here because reloads are picking up and because comparisons would get easier in the second half of the year. We're also benefiting from having recently paired the 700 megahertz spectrum that we acquired three years ago. This will allow us to maintain our edge in terms of network coverage and our consumers are already benefiting from that. Finally, I should point out that S&P recently upgraded its rating for Guatemala, very much in line with our expectations as the country remains as ever very stable. Now please turn to slide 13 to discuss Colombia. As you can see on the left, our postpaid customer base in Colombia continues to grow rapidly and now represents almost a third of our total customer base. Our strong post performance is driving our mobile service revenue growth, which grew by 8% during the quarter, as you can see on the right. And this is now largely coming from higher ARPU. As we have said in prior quarters, ARPU is slowly recomposing in Colombia. This simply means that our recent investments in spectrum, network and commercial distribution are all paying off. Meanwhile, B2B in Colombia had a very strong quarter, growing high single digits, by far our best performance since the pandemic. And this more than offsets the challenges we face in our own business in Colombia, which I discussed earlier. Finally, we're in the last stages of negotiating the renewal of our spectrum in the 1,900 megahertz band, which we think is key to maintaining our strong momentum in mobile in Colombia. The outcome of this renegotiation we expect will be as we have planned. Finally, let's move to slide 14 on Panama. In 2018, we entered Panama with the acquisition of Cable Onda, the leading cable operator in the country. We added mobile in 2019. We then rebranded everything to Tigo in 2020, and we subsequently introduced Tigo Business, and we launched Tigo Sports last year. Today, our brand is well established and we're the leading telecom provider in the market, and Tigo Money is coming later this year. This was our playbook, the Tigo playbook for Panama. As per acquisition plan, postpaid mobile has been the main driver of our growth in Panama as evidenced by the chart on the left. We have sustained consistent customer growth every quarter for the past three years as we migrate customers from prepaid to postpaid and as the market consolidates around the two market leaders. Today, our Panama business generates over $650 million in revenue, almost $300 million in EBITDA, and it has become a very important contributor to our cash flow in dollars. With that, let me turn it over to Sheldon.
Sheldon Bruha: Thank you, Mauricio. Before we review the financials, let me recap the macro context on slide 16. We continue to monitor the macroeconomic situation in our countries. On the left, you can see how inflation has been tracking over the past quarter, falling to 6.9% in March from 8% in December. All countries are declining, except for Colombia, where inflation increased slightly to over 13% at the end of March. On the right, you can see the GDP growth expectations, which compares to the IMF April GDP forecasts to the April 2022 estimates. Overall, GDP growth expectations remain broadly stable and on average, our markets are expected to grow about 3%. The IMF is expecting a decline in growth in Colombia and Bolivia. And we are monitoring the macroeconomic situation in these countries closely and are calibrating our CapEx spend there accordingly which I will touch on shortly. Now let's look at our Q1 performance, beginning on slide 17. Our service revenue was negatively impacted by adverse FX trends this quarter, primarily due to the Colombian peso, which depreciated 17% on average during the quarter compared to a year ago as well as the Paraguayan Guarani which depreciated about 4%. Excluding the impact of FX, organic growth was 2.2%. Our mobile business grew 2.4% and contributed about two-thirds of the overall growth in the quarter. And for the third consecutive quarter, all of this mobile road came from postpaid, which grew at 8.8%. The investments we made in some of our mobile businesses and the networks in recent years, especially in Colombia continued to yield positive results for us. Drilling down further on slide 18 to the service revenue by country, Mauricio has already talked about Guatemala, Colombia and Panama, so I won't cover those again. Elsewhere, our performance in most of the other markets was solid. Paraguay had one of the best quarters in recent history, growing 6%. This growth was driven by robust performance across all business units. Nicaragua maintained their strong momentum with growth of over 6%. Similarly, El Salvador continued its momentum and was up 3% in the quarter when every business line contributed. Bolivia was down 1.5% as we again felt the impact of a change in regulation on mobile data overage rates that went into effect last August. We will lap these effects in Q3 of this year. Finally, Honduras, which we don't consolidate, had a strong start to the year, growing almost 6%, continuing the strong performance seen in the second half of last year. Okay, turning to EBITDA on slide 19; EBITDA of $507 million was down from $564 million from a year earlier. ForEx impacts, particularly in Colombia and Paraguay were a big driver of this and represented about half of the reported dollar base decline. But there were a number of unusual items I want to unpick that affected the results this quarter in addition to investments that we are making in the business. Firstly, as I mentioned last quarter, we kicked off the implementation of our cost efficiency program, which we call Project Everest. During the quarter, we spent about $15 million related to restructuring costs, primarily employee severance costs across our headquarters function as well as several of our operations. I will go into more detail on this project later in the presentation. But this was a significant onetime hit that will lead to savings further on. Secondly, related to the private discussions that we are on-going, we incurred costs during the quarter in the low single-digit million dollars on legal, advisory and other third-party fees. Finally, our share price increased more than 50% in the quarter, impacting the booking of our share-based compensation, which is a noncash item, resulting in an incremental impact to EBITDA in the mid-single-digit million dollar range. This is an unusual item affecting 2023 where the impact spread evenly in each quarter of the year. We have also continued to actively invest in our businesses to support our growth and strategic vision. During the quarter, we had additional investments in content, including Vix, which we launched in the second half of last year. Additionally, we continue to support Tigo Money and our tower business, Lati. During the quarter, we had additional investments of mid-single-digit million dollars in these items in excess of the spend incurred in Q1 2022. Excluding FX, in usual items and investments, our EBITDA would have declined around 1% during the quarter, reflecting declines in Guatemala and Bolivia, partially offset by growth in our other countries, which I'll review on the next slide. So looking more closely EBITDA performance by country on slide 20; as I mentioned on the previous slide, restructuring costs impacted our margins this quarter not only on a consolidated basis but also at a country level. Colombia, Panama and Paraguay all saw restructurings during the quarter, and excluding the impacts of the severance, each of these countries would have grown. Paraguay was also impacted by the timing of our credit note payments, which negatively impacted the margins in the quarter. El Salvador grew 1.6% and Nicaragua saw a very strong growth of almost 9% with margins increasing over 200 basis points to almost 45%. Guatemala declined 6%, reflecting increased commercial intensity to strengthen our prepaid offering. This span is having the desired effect with prepaid reloads returning to levels from last summer. Additionally, as Mauricio explained earlier, in Guatemala, our subscription businesses, including B2B, have continued to perform well, but the margins associated with these businesses are lower than the high margins of the prepaid and incoming international revenues they were replacing, which impacts our margins. We are confident that the efforts that we are taking in Guatemala are solidifying our market-leading position and will provide the foundation for the operation to return to EBITDA growth. Bolivia EBITDA declined over 5% as we saw the full quarter impact of the regulatory change from August 2022, which drops straight to our EBIDA light [Ph]. Finally, Honduras, which we do not consolidate, had a strong growth of 4%, reflecting the improved revenue trends during the quarter. I want to spend a moment reviewing our efficiency program Project Everest, where I'm pleased to report we made significant progress this quarter. Our team has been hard at work on several key projects that will drive greater efficiency and agility across the organization. As I mentioned last quarter, this is not simply a cost-cutting exercise but improving the way in which we operate. Important accomplishments this quarter included organizational restructuring across our headquarter function and several of our operations, prioritization and rationalization of our IT spend, fixed mobile conversion efforts to reduce commercial OpEx, several optimizations in order to reduce spend, and finally, power saving initiatives such as improved data and analytics and alternative cooling methods. These initiatives will enable us to achieve our goal of over $100 million in annual run rate savings by the end of 2024 with more than $50 million of these run rate savings expected by the end of 2023. I mentioned previously that we incurred implementation costs in Q1 of approximately $15 million. We will continue to incur some implementation costs into Q2, but we anticipate this will be much smaller amount, after which the bulk of the restructuring and implementation costs will be behind us. As a result of all of this, we anticipate we will have material net savings within the year 2023. Moving to slide 22, I want to touch a bit on our CapEx investment. The main points I want to make here are: first, we continue to invest in the business by modernizing and improving our mobile business and expanding our footprint and connecting new customers on the home side. Our investment in the business is ongoing, and we remain committed to ensuring that we provide the best possible service to our customers on the best network in the region. Second, we have the ability to adjust our CapEx as needed. As we saw during the pandemic in 2020, our CapEx spend declined to below average levels. We were able to pick back up the rate of build and connections and quickly return to above-average CapEx spend. We're able to be flexible because much of our CapEx is variable and dependent on demand, which allows us to adjust our spending based on market conditions. As Mauricio discussed earlier, we are seeing a slowdown in home demand and are seeing some macro challenges at Colombia and Bolivia in particular. We are ordering [Ph] our build as a result and are also experiencing lower connection CapEx as well. Additionally, as we are focused on efficiencies, we have been able to secure multiyear agreements with our key mobile vendors, which will lower our CapEx spend while still allowing us to expand capacity and coverage of our networks as we planned. This combination of factors means that our 2023 capital intensity is expected to continue to trend lower towards our long-term target of around 15% CapEx to sales. In dollar terms, this means that our total 2023 CapEx spend will be about $100 million lower compared to 2022. Now let's take a look at equity free cash flow on slide 23. You'll recall from last year that we have a lot of seasonality in our cash flows with Q1 being a big negative quarter for us. This is the quarter, we have a high level of prepayments for items such as annual IT licenses, regulatory fees, sports soccer content, sponsorships and insurance. We also spend working capital to replenish inventories that become depleted during the high selling of the Q4 holiday season. This quarter is even a little bit more pronounced with the negative equity free cash flow of $133 million compared to outflow of $63 million in the prior year. A few additional cash flow items hit us in Q1 this year. A similar annual coupon paid in the quarter on the Guatemala bond issued in January of last year. The outflow of $20 million from working capital related to a tax amnesty in Q4 of last year, the first half had this payment flowed out in Q4 last year, timing of spectrum purchases. Q1 had higher spectrum costs this year primarily related to the acquisition of AWS spectrum in Panama for $20 million. It's important to note that all of these items were accounted for in our budget and are related to timing. As a result, these do not affect our confidence in achieving our three-year equity free cash flow targets of $800 million to $1 billion. Now please turn to slide 24 for our usual net debt bridge. Net debt or so caused derivatives is up $184 million, mostly due to seasonal cash flows during the quarter. We also had a ForEx impact from the translation of local currency debt as the Colombian peso at March 31 strengthened from the level at December 31. And as I said earlier, EBITDA this quarter was impacted from one-off costs from among other things, implementation costs from Project Everest and non-cash share-based compensation from a higher share price, all of which are having short-term impacts on our debt-to-EBITDA leverage ratio. We ended Q1 at almost $6 billion of net debt and net debt to EBITDA after leases of 3.18 times. If we include lease obligations of just over $1 billion, our leverage was 3.23 times at the end of Q1, which was up from 3.06 times at year-end from the reasons I just discussed and is down from 3.46 times a year ago. Let me hand the call back over to Mauricio to do a wrap up.
Mauricio Ramos: Thank you, Sheldon. At our Investor Day, just over one year ago, we outlined the value creation strategy centered around our clear purpose to build digital highways. The two key financial targets of that strategy are: one, to drive organic operating cash flow growth of around 10% on average between 2022 and 2024; and two, to generate cumulative equity free cash flow all in, in dollars of $800 million to $1 billion during that same period. Macro conditions should remain challenging today, but one, we're harnessing the benefits of investments that we've made in recent years to strengthening our networks and our brand. Two, we're implementing project efforts to increase operational efficiency; three, we're putting through price increases to mitigate the effects of higher-than-expected inflation. And four, we're adjusting investments to a slower short-term demand for our home products. As a result, we remain on track, and reconfirm those midterm financial targets. We also remain focused on unlocking shareholder value from our valuable infrastructure and fintech assets. As you heard earlier today, we're seeing strong operation on the financial momentum on Tigo Money, while our TowerCo is on track for a potential transaction later this year. Finally, we're also on track to meet the important external ESG commitments that we have made. Today, we're pleased to report that we have maintained our MSCI ESG rating of AA. This rating continues to place us above the industry average. With that, we're ready for your questions.
Operator: Thank you, Mauricio and Sheldon for your remarks. We will now begin the Q&A session. As you are aware, we published a press release on January 25, in which we confirmed that we are having discussions with Apollo Global Management and the Claure Group about a potential acquisition of all outstanding shares in Millicom and that there is no certainty that a transaction will materialize nor as to the terms, timing or form of any potential transaction. We have no new updates on this topic and for legal reasons we cannot and will not take any questions on this topic today. As a reminder, if you would like to ask a question, please let us know by e-mailing us at investors@millicom.com, and we will add you to the queue. Our first question today will come from Andres Coello at Scotiabank. Andres, the floor is yours.
Andres Coello: Thank you. Good morning everyone. Thank you for letting me make – quote the first question. It is clearly my opinion that the one market where you are facing most challenges is Colombia, right? You have a macro challenge. Your competition is difficult. You face a very dominant incumbent, which is America Movil. I'm wondering if it's not a good time to start thinking about possible strategic alternatives for Colombia, perhaps including market consolidation in Colombia. And so I'm just wondering if this is something that the company is currently reviewing if there are on-going possible discussions with Telefonica or other players or any other possibilities for improving profitability in Colombia and also for making it a more rational market where you can actually earn free cash flow. Thank you very much.
Mauricio Ramos: Well Andres, thank you for the question. Good seeing you. Before I kind of address the inorganic part of it, Colombia is a market in which we think organically, we've made all the right moves. You're very well aware of those, the spectrum built the network, increase the commercial distribution, put in place a postpaid strategy, gaining a lot of traction, and it is the one market where we're clearly making headway organically, particularly on mobile, fixed, it's a little slower than it had been in the past. Obviously, normally, we wouldn't comment on any specific M&A transaction. And I'm not going to do that. So my comments are going to be very generic more to the market. I think we've often said that the Colombia mobile market, in particular, requires not just the organic wins that we'll be having but inorganic solutions where it really -- networks that come together and become more efficient, be that be mobile or fixed or whether it be actual industry consolidation with players [Ph] coming together because today, effectively, the market is market of one and all the other smaller operators, including ourselves, we started to make a return to be very clear on that. And as a result of that there is indeed a need for reconstruction of the industry, whether it be the consolidation or whether it the super consolidation of fixed or mobile networks. And you're right. I read your report by the way, that the time is about now because in the next year or two, as you would know, the entire industry is renewing spectrum licenses. So there's a lot of pressure on the cash flows from those renewal of the spectrum licenses. And that is applicable to everyone. So something's got to change and it's got to change soon because it doesn't work for all the players, but one. So if your question is, is market ready now for inorganic solutions, whatever the spectrum of those are, and I'm not now pointing to a single one because there are multiple ways in which those inorganic solutions could come about. The answer is yes. I mean the answer is not only yes, but it is now. Part of your question was whether we're actively working on all such possible improvements and solutions, yes, not only now we've been working on that for a little while. Do we think something may happen possibly? It should, it needs to. Can we handicap or suggest exactly which one of the options or guarantee that any of them will come about? No. But quite clearly, if there was a market in which the opportunity exists is this -- clearly the opportunity is now. How about that for not answering an M&A question.
Andres Coello: That was very useful. Thank you very much Mauricio. That’s good guidance.
Operator: Great. Thanks Andres. We'll take the next question now from Marcelo Santos at JPMorgan.
Marcelo Santos: Hi, good morning. Thanks for taking the question. I wanted to understand a bit better, which of the unusual items and the investments that you discussed such as Project Everest, which of them should persist in the coming quarters? Like how should we see these items affecting? Is this more related to only to the first or should we expect some spillovers? This is my first question.
A - Mauricio Ramos: Do you want to have a crack at that one Sheldon?
Sheldon Bruha: Sure, sure. Thanks, and good morning. Yes, look, I think if you -- in my prepared remarks, I kind of addressed a few of these. I mean, but let me pick them kind of sequentially, but we had some large -- largely there are one-off items this quarter or unusual items related to the Project Everest implementation. This is only the heaviest quarter for us on that. I would expect some additional implementation costs here in Q2. And then largely, those are going to be behind us. Undoubtedly there'll be some, but those are largely behind us. The next item, I mentioned is kind of the share-based comp implications. That's a bit higher for us largely because sort of what happened to our stock price here in Q1 is the time that we were essentially doing our awards to employees. That's essentially going to be accrued kind of over the quarter. So that will be kind of flat and expect to see a similar impact there in future quarters this year as we saw this quarter. Then I think I mentioned some of the investments that we're making, perhaps some of the content investments in Vix and otherwise. Look, those should be more pronounced here in the early half of this year. But once we sort of ramp up our activities in those levels, the negative impact of those start-up costs are going to be behind us. So it's more of a first half this year impact. Second half of this year, we should be seeing some of the drag from that. And then, of course, I think the last item I called out kind of a bit unpredictable about how it will continue to impact as some of the costs we're incurring on the discussions with regard to sort of the take private. So there's a bit of an overhang on that depending on how that goes, there could be some continuing cost we're incurring there.
Marcelo Santos: Good, perfect thank you. If there's time just for a new question. Could you please comment on the fixed market in Panama, like the home is a bit tough? So any comment would be good.
Mauricio Ramos: Yes, sure, for sure. So as I alluded to on the prepared remarks, our strategy in Panama, if you were to look at our acquisition plan Marcelo, it is one of those cases in which everything other than the pandemic, of course, that was not in the acquisition plan has happened as we expected and very much as a playbook or the acquisition plan indicated. And that largely was in summary, sustain and hold on the home part of the business because when we bought the asset, we had 70% mobile, sorry, home market share, which we still do. So that was never for us to be the source of growth. But that was the basis upon which we could sell a lot of mobile by cross-selling to that home base. And that's exactly what you have seen we've been selling basically mobile to that home base. Today, our mobile market share is in the high 40s. When we started out, it was in the mid-30s, so that was the acquisition plan. My point being that the fixed market in Panama for us was always meant to be simply a steady cash producer, which is what it has been. You're not supposed to see a lot of net gains coming from Panama. You're not supposed to see a lot of ARPU pick up coming from Panama because it's mean to be just basically the steady cash flow producer that it has been. And it remains that way. Interestingly, I was in Panama just last week, and I walked the fixed networks, both the fiber that we're deploying in some areas in Panama and the lowest economic areas where we use -- still have a lot of MDS [Ph]. And I was surprised at the demand for our products still on home in Panama, particularly in the areas where we are upgrading all the MDS [Ph] network to fiber. And I was surprised for the pull of the product, and I was also surprised by the impact of the content that we've been buying and its relevance to the subscriber base there. All of that simply to say pretty steady. There's some room there for improvement as we build a little bit more footprint, but it's not meant to be the source of our growth. The source of our growth in Panama is to continue to be mobile pickup. Tigo Business in Panama while we're on Panama is really making what it should be doing. It's a new brand, but it's beginning to really pick up speed in Panama and obviously, Tigo Money, which we will be launching later this year in Panama. So those are the things in the playbook that are still coming in Panama, B2B, much more and the Tigo Business part and Tigo Money
Marcelo Santos: Thank you. Thank you very much.
Operator: Great. Thank you Marcelo. Our next question today will be coming from Soomit Datta at New Street Research.
Soomit Datta: Hi guys thanks very much for letting me ask a couple of questions. The first one, please, on CapEx. So you've talked about easing up on some of the investments this year and CapEx coming in perhaps $100 million lower. Should we sort of be thinking about this as a new run rate going forward, other things equal or is this really quite temporary given some of the softer macro conditions in a couple of other markets? And I guess, particularly thinking through the equity free cash flow guidance period. So through to the end of 2024, is that a $100 million saved, is that $200 million saved would be interesting? Thank you. And then the second one, please, on Guatemala -- would just like -- it would be great if you could maybe, Mauricio just kind of remind us of the cadence as to how everything has played out there, and it sounds like pricing has stabilized, but there are some more commercial kind of efforts been going in. So should we be thinking of stable revenues? Are we at a lower margin level? Any kind of great discussion around that would be helpful. It would be great to know a bit more about what AMX is doing right now. Thanks.
Mauricio Ramos: So let me start with Guatemala, and I'll give Sheldon a little bit of time to figure out how to answer the math question that you are so very actually putting in front of him. So Guatemala, as you saw from this chart, is delivering quite well on the home part of the business, which is growing. It's actually one of the countries where home has got a lot of potential going forward. Tigo Business in Guatemala, as I've said often, is also an area in which we now -- with us owning 100%, it's easier to deploy the entire strategy, including Guatemala given the relative size of Guatemala in Central America. That's an area that is growing quite well and we expect to continue to grow well. And so is postpaid. And we've already talked about Tigo Money being relaunched in Guatemala. So the challenge has been concentrated in prepaid as all the other subscription businesses continue to grow. And as you recall, maybe about a year or so ago, there was a pickup in prepaid competition basically our competitor significantly draw prices. And we responded if you recall with a strategy that we believe has paid off handsomely, which is to defend by strengthening the network, which we have done. We also were able to pay the 700 megahertz spectrum early this year. And I can tell you, because I was in Guatemala earlier this month that it makes a big difference to consumers. And mostly we responded by strengthening the commercial distribution channels. That's what we mean by investments in the commercial distribution, and that's why you see it hitting on EBITDA. And that has worked extremely well because it has been -- allowed us to defend the long-term health of the business, the pricing levels, if you will, while continuing to sustain our market -- leadership market share in our number of subs. So if you look at the top line on prepaid, the volume part of it has held precise -- we still have the same market share. We still have the number of big subscribers, rebuild subscribers, etcetera. And what we're beginning to see now because this is important, we haven't seen any increased price erosion. Our competitor hasn't doubled down or continued. As a result of that, we believe that we've stabilized the market and our strategy paid off greatly. It doesn't mean that it didn't have an impact as I alluded. But it has been the right strategy to defend our volume, our market share and the pricing levels. The money has gone into the commercial distribution networks. So we're actually very pleased with having made these investments. Today, they look at with the right investments to make. Totally get the facts on it that it means our Q1 EBITDA looks awful in Guatemala, totally get it. But I realize that accounting geography is what it is, but we view it as a very good investment for sustaining our leadership in Guatemala. And because reloads are now picking up and our subscriber has remained the same, we're actually quite positive towards the comeback of our prepaid revenue in Guatemala in the second half of this year. There's also going to be, just to be clear, a mathematical effect, right? We're going to lap this competition cover into the second half of the year. So that's going to help us a little bit. So I'm just adding the math to the actual color on the market. Hopefully, that's pretty consistent and pretty detailed for you -- and Sheldon you -- so hopefully, you got the calculator out and you assume specific yearly targets for cash flow.
Sheldon Bruha: Hey Soomit good morning or good afternoon to you. Yes, on the CapEx side I think we're trying to talk about -- we do have flexibility on how we can adjust CapEx sort of as needed in the business. I think we've demonstrated that kind of historically as a company. But if I kind of want to unpick the $100 million sort of reduction that I pointed towards in my prepared remarks, it's kind of really three buckets. The first bucket is kind of we're recalibrating our home builds predominantly in Bolivia and Colombia. And that's really sort of macroeconomic driven and sort of competitive, what we're seeing from a competitive perspective driven, that's discretionary, right? So that's something we'll continue to evaluate next year and in the following years. And if we see things differently than what we see them today, that can come back. The second bucket, I would say it's about a third of that total reduction again is more -- it's really activity-based. It's sort of some of the lower activity on home -- the home connections. Now that's largely market-driven. But some of that is self-imposed and I would say kind of discretionary as well. I mean we're being a bit more kind of selective around additions right now given the current environment. We're keeping -- maintaining connectivity costs for customers on home just to make sure we're kind of managing the customer base that we're bringing in. So that's going to be a bit variable, and we can kind of pull some levers there, but it's going to depend on sort of how the market evolves going forward. And then the last bucket, once again, these are all about a third each in terms of contribution to this reduction. It's really pricing and pricing that we've been able to kind of negotiate given some multiyear agreements with our largest mobile vendors. And that's going to benefit we're going to see in future periods as well. So I kind of break it down sort of in that fashion, you can understand a little bit how that could evolve in future periods.
Mauricio Ramos: I'm going to add a couple of things to those. One is a reiteration of the last point that Sheldon made, which is not small. Earlier this year, we went to all of our vendors with three-year plans and three-year capacity needs. And we renegotiated deals for the long term, allowing us then to get pretty decent pricing, which is part of the savings that you're seeing in CapEx. So we're being able to do the same or more with less dollars. And the second point is simply to highlight the notion that we've consistently talked about our long-term CapEx intensity ratios to be around 15%. So it shouldn't surprise anybody that although there may be some ups and downs in the quarters and even years, that's where we think the business will trend towards.
Soomit Datta: Great.
Operator: Thanks Soomit. Our next question will come from Lucas Chaves at UBS.
Lucas Chaves: Hey thanks for having my question. So continuing on the previous question, I have the two on my side here. So I would like to know on the free cash flow but to equity now. So what do we expect to the remaining of the year and considering out the cumulative target that you have for the next three years, what you expect to achieve there in 2023? And finally, the same thing about leverage, how should we look at leverage at the end of the year, considering now the new calculation that you were doing changed -- should we compare the 2.0 target that you have in the long term? Thank you very much.
Mauricio Ramos: So I'll start a little bit on the equity free cash flow and then hand over to Sheldon for those. The two financial targets that we've set out for this three-year period are quite interrelated. Our operating cash flow growth, it's also related to the CapEx question is on track for an average of around 10% organic per year for this multi-period and that's the driver behind getting to that equity free cash flow number, which, as we've said repeatedly, it's back ended. So you can expect that next year, there's going to be an increased pickup on our equity free cash flow. And our long-term targets for leverage remain the same, 2.5% by 2025. So I'm basically reiterating what we have consistently said, reiterating the notion we're on our way there. Any color, Sheldon, do you want to add to any of that?
Sheldon Bruha: Sure. Let me just add a little bit. Just on the leverage point, I mean, we don't - we're not giving guidance sort of on that from a specific year. But if I could take a little bit of what happens for this quarter. I mean our leverage increased a bit here, but it's a combination of a number of factors. One is kind of the seasonality of our cash flows, which I think we've been pretty clear about that. I think and what you've probably seen and the way we report it. So there's a bit of a cash outflow here in Q1, which has led to what led to the uptick in leverage. And we had some FX translation issues this quarter. The Colombian peso appreciated about 5% from year-end levels, which meant negatively impacted sort of the lot of debt we booked on a dollar basis. But then on the same time, the average rate depreciated year-over-year about 17%, which meant it inevitably impacted our LTM EBITDA, kind of an unusual combination for, I think, that you normally see the movements kind of move in similar directions here that kind of moved in opposite directions. And also, I think there are some unusual items, as I talked about hitting EBITDA. The average implementation costs and some of the higher share-based comp, we'll eventually lap those in our LTM EBITDA calculation. So look, several of the factors I've been highlighting here are kind of short term in nature and already part of our planning. So I might think through it all, I remain sort of confident in terms of where we can get leverage in the medium term, but there will be some items here that we're going to have to sort of work our way through and kind of go through the system here kind of in the short term from our overall leverage ratio.
Mauricio Ramos: Just going to add a little bit there. Hopefully, it helps -- I know that the Q1 EBITDA may be spooking some. But the way we look at it and regardless of the geography of accounting, we look at those as all of those being good investments into the short term and the medium term and the long-term. So the Everest they're hitting to one, but the payback on that is well within the year and certain to the future years. So squarely for us, there are investments -- investments in content and Tigo Money and Lati, they're also very good investments regardless of the fact that geographically, they hit EBITDA. And as I was responding earlier to the question by Soomit, even investing in the commercial distribution network in Guatemala, we see as investment into the long-term sustainability and profitability of that business. So I'm just adding that to the conversation so that you get a feel for how we see this Q1 as being really an investment in the long-term health part of the business.
Lucas Chaves: That was very clear. Thank you. Thank you very much.
Operator: Thank you Lucas. Our next question today will come from Fredrik Lithell at Handelsbanken.
Fredrik Lithell: Thank you very much. Thank you for taking my questions as well. I have maybe two if you could come back to Colombia a little bit. In 2022, you partnered up with a third party to be able to access more homes passed then I was curious to see how you're progressing with that. If you're connecting anything or if it's early on and the status of that? And maybe also if you could on your broader geographical scope, talk about homes connected. I can see that you talked about Homes Passed coming down. How do you work with Homes Connected? And how do you see that that is progressing as well in more general terms? And then if we stay with Colombia, the spectrum auction, there is a spectrum auction coming up, right? So it would be interesting to hear the timeline. And also, if you would use the last spectrum auction you had in Colombia as a blueprint how would payments for the upcoming look like? I'm not sure if it's similar -- if the rules are already set or something like that would be interesting to hear. Thank you.
Mauricio Ramos: Thank you for the very good questions. So the first one, I'll kind of bundle the Colombia with the rest. So on our Home business, as we said earlier, we're seeing softer demand than we had seen before. Part of it is basically the ebb coming out of the pandemic, the aftermath of the pandemic, there was a lot of demand during the pandemic. People are back into the offices, residential broadband demand is slowing down and as a result of that, there is a natural ebb. It doesn't change our long-term outlook for the business but we're cognizant of the fact that it is lower. And there's also the macroeconomics that are weighing down on demand. And those are related to the two countries, and this is where I answer the Colombia, as we said, where we're seeing softer demand, and those are really Bolivia and Colombia. The rest of the geographies in terms of homes connected and demand remain pretty healthy. So Central America continues to grow. And even Paraguay, as you have seen from the result is back to growth, both on mobile and even on fixed, and you can expect fixed to even get better as we go into the year. So it's really all about Colombia and Bolivia, which has that effect of softer demand and a lot of macroeconomic turmoil and uncertainty associated with that demand. And that explains to you where we are softly -- only softly selling in Bogota. Sticking with Colombia, then on the spectrum, I should clarify that there is no option in Colombia currently under way. What we have in Colombia is the renewal of our license. We've begun and are kind of on the end part of the process of renewing our 1,900 megahertz license, that's for renewal. I think the terms are almost final. And as I said in my prepared remarks, they're coming in as expected. That doesn't mean that the cost of spectrum in Colombia does not remain high, it does, but it's coming in as we had expected. It isn't final, and that's why you sense in my tone, some parentheses there. And as you know, all the ministers in Colombia changed yesterday. So we need to be cautious that this may take a few more months than we had anticipated. It's coming out as we planned. And then we also alluded to the fact that we will begin the discussions around the renewal of our AWS spectrum in Colombia. So those are renewals. There are no other stated options in a region, and I'll make one exception. Of course, all governments talk about 5G. But as I said often, that will likely be slow burning process in most markets. As you already know, in some of those markets, we already have some 5G spectrum and some of those we've already launched like in Guatemala. In Guatemala, importantly, and this would be very positive news later in this year. The government is working towards an auctioning of the 2,600-megahertz spectrum and that for us would be -- or the 2.6 megahertz really. That for us would be a very, very important and valuable development for the industry as a whole in Guatemala. But it's still in process. So there's nothing there to be specific about.
Sheldon Bruha: If I could add maybe just a little bit on the Columbia spectrum, you would have seen or you may see in our results that we actually did put that onto that renewal onto our balance sheet this quarter, about a $250 million in aggregate. Now what Mauricio sort of highlighted is we're still kind of undetermined the payment terms related to that, how much will be cash, how much could be under coverage commitments and then sort of what the payment -- what the distribution of those attached payments over time could be? And then any sort of associated interest charges that may be tagging on to those. So those are still the items that are still being discussed and are unstill unfinalized.
Mauricio Ramos: That's for a 20-year license.
Fredrik Lithell: Alright. That’s very clear. Thank you very much.
Operator: Great. Thank you so much Fredrik. We will hand over the last question to Phani Kanumuri from HSBC.
Phani Kanumuri: Thank you for taking my question. So the first one is related to the Project Everest. You have said that there would be about $100 million in cost savings by end of 2024 annually. So where can we expect the cost savings coming geographically? Is it something similar to the restructuring cost that we've seen with majority of the costs coming from -- majority of the cost savings coming from Colombia? That would be my first question. My second question is in B2B. You've seen a strong growth from B2B. Again, which markets are you seeing the highest growth? And what are segments that you're seeing, I mean, in terms of connectivity versus cloud versus -- how are you seeing the growth coming back? And the third one is more of a clarification question. So you said the CapEx would be 100% lower. Is it per annum, and that would mean that you're expecting an average run rate of 900 million per year. Is that the right assumption? Thank you.
Mauricio Ramos: All right. I'll take the easy one, the B2B and then let Sheldon crunch the math there and all the math questions. So if you recall from my prepared remarks, we have revamped our Tigo Business or B2B strategy just before the pandemic, during the pandemic the business was basically on ice. But all that strategy is paying off as we come out of the pandemic. And it's, as I said in my prepared remarks, a very holistic strategy that includes partnerships, very well trained forces, careful selection of a streamlined product suite, very, very clear distribution channels and a lot of work with our partners. Not surprisingly then on either the areas that are having the most growth are what we call digital services, cloud services, service security, SD-WANs, right, that basically give perfect connection to our connectivity products. So we provide the digital services, the connectivity, and we have great partners. That coupled with good distribution, well-trained sales forces, is giving basically what we call digital services, the ability to become the engine of growth. And that's why we see a very, very sustained growth to that B2B business. In terms of geographies, it's very broad-based, very broad-based. And you can imagine that the countries in which our B2B businesses were bigger in relative terms like Colombia and Panama, is where we're seeing quite a bit of traction as well. But also given our size Guatemala and I also believe that Paraguay is right in line to start showing some growth there on B2B. So those are the answers on B2B. It's paying off. Our strategy is now paying off, and we're very, very happy to see. As I said often on B2B, as a telco, we were underweight on B2B. And in our markets, there was a clear opportunity to put connectivity, partnerships, product segmentation, digital services, the data centers that we have been building all together into a product that caters to the business community. That's the long and short of Tigo Business.
Sheldon Bruha: I'll pick up some of the other questions I think you raised as well. First on Everest; look, first of all, I just want to say -- I'm very pleased on the progress we've made on that this quarter in terms of how we're launching that and how we're implementing that across the business. I mentioned in my prepared remarks, I mentioned last quarter, this is a very broad-based program sort of across our -- all of our operations, including our headquarters. And it's not just cost cutting, right? It's sort of changing sort of our approach in terms of how we're managing the business, centralizing activities that make sense to do so across the organization and improving our kind of our operational efficiencies and how we manage businesses locally. So it's going to be impacting sort of all countries. I think what you're kind of seeing so far is some of -- mostly the organizational impacts, and that's probably where there was a bigger sort of front-end costs related to that. And you can probably see us a few of that where it's hitting by country. But look, I'm not going to kind of guide how that $100 million is going to be spread across the countries. It's going to be very, very broad-based. But once again, just looking at the progress of what we're making this year, I did indicate that we're on target to exceed the $100 million of savings by the end of 2024. We're on target to exceed 50% of that or $50 million of run rate savings by the end of 2023. And I mentioned we're incurred bulk of our implementation costs here in Q1. There'll be a bit more to come. But 2023 in aggregate is going to see a materially positive sort of net impact sort of within the year even taking into account those one-off costs. So some really good progress on Everest and we're well on our track delivering that. It's what we're seeing benefits, particularly in the second half and then really into 2024. I think your other question is just around CapEx, which I think we largely addressed in my comments to Soomit, just a second ago in terms of we're seeing about $100 million CapEx lower this year than last year. It's really kind of across those kinds of three buckets. And how that plays out in future years, I think as some of it's in our control, some of this will be sort of just managing as we sort of see the activity base and then when we see the environment. But some of that's going to be much more sort of longer-term requirement as we talked about some of the pricing benefits we're able to achieve with our key vendors.
Phani Kanumuri: Perfect. Very clear. Thank you.
Operator: Great. Thanks Phani. I'll hand the call back over to Mauricio for some closing remarks.
Mauricio Ramos: Well, thanks, everybody, for joining today and for the great session and questions. Just to finish off, I'll repeat, number one, we realized that Q1 may spook a little bit on the EBITDA. But don't be. Those are all largely, if not all of them, investments that we've decided to make and that we're very happy to make, whether they are severance for Everest and operational efficiency or investments in Lati or investments in Tigo Money or investments in maintaining the growth that we've seen in Guatemala before. Those are all conscious decisions that we've been very, very happy to make, and they all have payback which is why I urge you keep the focus on what we think are the value drivers, the things that you should keep your eye out on as we do, which are number one. These are all helping us drive that equity free cash flow commitment of $800 million to $1 billion for the 2022 to 2024 period, which we remain on track for and have just reconfirmed here. As you all know, it's back ended. We've always said that. So look out for 2022 -- sorry, for 2024 to be the year when that really takes off. Number two, in terms of value drivers and things to keep an eye out on. By year-end, we will be unlocking the value of our tower infrastructure. That is meaningful at all levels. You know the math on that and how that will help create shareholder value and make the business a more focused business. Number three, there's also hidden value in our data center portfolios and outside of our fintech business. As I said earlier, we're very happy with the way Tigo Money is playing out. It's delivering on all of my expectations and the possibility of future value. And number four, which I have just added, given the question earlier on, there is upside here in some inorganic improvement to Colombia, whatever the flavor of that may turn out to be. So hopefully with that you get a clear picture of what we're focused on and where we see the value levers for the business coming from. Thank you for joining today.